Operator: Good day, everyone and welcome to the Mercury Systems First Quarter Fiscal 2023 Conference Call. Today's call is being recorded. At this time, for opening remarks and introductions, I’d like to turn the call over to the company’s Executive Vice President and Chief Financial Officer, Mike Ruppert. Please go ahead, sir.
Michael Ruppert: Good afternoon and thank you for joining us. With me today is our President and Chief Executive Officer, Mark Aslett. If you've not received a copy of the earnings press release we issued earlier this afternoon, you can find it on our website at mrcy.com. The slide presentation that Mark and I will be referring to is posted on the Investor Relations section of the website under Events and Presentations. Please turn to Slide 2 in the presentation. Before we get started, I would like to remind you that today's presentation includes forward-looking statements, including information regarding Mercury's financial outlook, future plans, objectives, business prospects and anticipated financial performance. These forward-looking statements are subject to future risks and uncertainties that could cause our actual results or performance to differ materially. All forward-looking statements should be considered in conjunction with the cautionary statements on Slide 2, in the earnings press release and the risk factors included in Mercury's SEC filings. I'd also like to mention that in addition to reporting financial results in accordance with generally accepted accounting principles or GAAP, during our call, we will also discuss several non-GAAP financial measures, specifically adjusted income, adjusted earnings per share, adjusted EBITDA, free cash flow, organic revenue and acquired revenue. A reconciliation of these non-GAAP metrics is included as an appendix to today's slide presentation and in the earnings press release. I’ll now turn the call over to Mercury’s President and Chief Executive Officer, Mark Aslett. Please turn to Slide 3.
Mark Aslett: Thanks, Mike. Good afternoon, everyone and thanks for joining us. I'll begin with the business update. Mike will review the financials and guidance and then we'll open it up for your questions. Mercury's bookings increased 34% year-over-year in the first quarter, following 27% growth in Q4 of fiscal '22. Actual results in the quarter exceeded the high end of our guidance across all metrics and we're raising the low end of our full year outlook as a result. The largest bookings in the first quarter were LTAMDS, the SDA tranche tracking layer and AMCS. We also received the F-18 and [indiscernible] Block 2 orders that moved from Q4. Driven by strong Q1 bookings, our book-to-bill was 1.17 in Q1 and 1.14 over the last 12 months. Backlog grew 22% year-over-year. This backlog, combined with strong bookings expected in Q2 and for the remainder of the year, position us well to deliver increased revenue and EBITDA in Q2 and the second half of fiscal '23. Our results for the first quarter reflected the second half weighting of orders in fiscal '22. Together with continued order delays, long semiconductor lead times and other supply constraints. Q1 is also typically our seasonally weakest quarter. Total revenue increased 1% year-over-year Organic revenue was down 4%, a far better result than Q1 last year. We expect organic growth to turn positive in the second quarter. Our largest revenue programs were F-35, LTAMDs, Aegis, F-18 and SEWIP. Q1 adjusted EBITDA was down 19% year-over-year as expected. This was driven primarily by the second half weighting of orders in fiscal '22 and program mix. We expect margins to increase in Q2 and as the year progresses. Free cash was an outflow of $73 million which we believe will be the low watermark for the year. This primarily reflected order delays and supply chain disruptions that affected the timing of collections in the quarter as well as purchase of raw materials to support future revenues. In addition, we saw customers unusually holding payments at the end of the quarter. We expect free cash flow to improve substantially in Q2 and grow through the second half of fiscal '23, resulting in positive free cash flow for the year. We continue to see high levels of new business activity. Design wins in Q1 totaled more than $135 million in estimated time volume. Turning to Slide 4. Q1 marked the beginning of Mercury's fourth fiscal year dealing with the effects of the pandemic. In the near term, our business in the industry will continue to face challenging macro forces. However, it's clear that the issues impacting us today are not demand related. They're supply and timing related, they're short term and they're not unique to Mercury. We're executing our plan to control what we can and we're optimistic about the future given our positioning. After several years of COVID-related challenges, we believe that we've entered a multiyear period of accelerating growth and profitability similar to the period post sequestration in 2013. Reflecting back to the beginning of the pandemic, Mercury's fiscal '20 was in the health care crisis phase. We navigated this period well with minimal impacts on our employees, operations and financials. Bookings, revenue and adjusted EBITDA were up more than 20% over the year. In fiscal '21, we saw a COVID-related slowdown in orders. Bookings didn't grow as much in the second half as we anticipated, declining nearly 8% for the year. Our book-to-bill fell to 0.95 from the prior year's 1.2, the lowest in more than a decade. Revenue still grew 16% year-over-year. Adjusted EBITDA was up more than 14%. In fiscal '22, we saw the full effects of COVID beginning early in the year. The Delta variant reduced our manufacturing productivity and the defense budget was delayed 165 days. We experienced significant semiconductor supply chain disruptions and higher attrition as well as a nation, all magnified by the prior year's order slowdown in the second half. As a result, total revenue grew 7% in fiscal '22, less than we had anticipated. Organic revenue declined 5% and we ended the year with adjusted EBITDA margins roughly flat. Supply chain disruptions had an outsized impact on H1, H2 linearity. Working capital investments increased as the year progressed, with free cash flow turning negative as a result. However, bookings rebounded strongly in FY '22, growing 21% year-over-year, leading to a 1.08 book-to-bill and crossing $1 billion for the first time. Most of this rebound occurred in the second half with bookings growing 33% versus H2 of the prior year. This order timing, coupled with dramatically longer semiconductor lead times is resulting in our fiscal '23 financial performance also being more back-end loaded than we experienced pre-pandemic. Unlike last year, however, bookings in fiscal '23 are off to a great start. We expect faster growth in the second quarter and the first half to be much improved versus H1 of fiscal '22. This sets the stage with strong full year bookings and a positive book to bill. We believe that Q1 marked the bottom in fiscal '23 for organic revenue growth, free cash flow and margins. Given the strong order flow, we anticipate a return to organic growth in the second quarter and for fiscal '23 as a whole. We expect to deliver stronger earnings and positive free cash flow as well as improved working capital efficiency over time as the supply chain headwind subside. As I said earlier, what Mercury has experienced since the start of the pandemic is much the same as sequestration nearly a decade ago in terms of the multiyear impact on our financial results. The enhancements that we made in the business at that time led to accelerated growth and value creation over the next 5 years. For fiscal years '13 through '18, Mercury ranked second and first among our Tier 2 defense peers for compound annual growth in revenue and adjusted EBITDA, respectively. Similarly, through impact with strengthening our business fundamentals once again. Looking forward to fiscal '24, we believe that lead times for high-end semiconductors will begin to improve in the second half. We've already begun to see a shortening of semiconductor lead times on the low end. We expect stronger bookings and organic growth, continued margin expansion and greatly improved free cash flow as we release working capital, all of which should position us for further growth and value creation as we move forward. Turning to Slide 5. We believe today's geopolitical environment is the most challenging since the cold war. The risks related to China and Taiwan are potentially more significant than what we're experiencing today with Russia and Ukraine and the time line is moving to the left. The semiconductor industry and the defense industrial base in Europe and the U.S. are not what they need to be to build the military stockpiles and the new capabilities required in this threat environment. We appear to be heading into a super cycle in U.S. and allied defense spending. The change, however, for both the government and the defense industry is clearly on the supply side, whether it be the availability of semiconductors and other materials, labor or now inflation. In the near term, the industry is dealing with an ongoing shortfall in government contracting personnel. We're also beginning the new fiscal year under a defense budget continuing resolution. This means the contracting environment will likely remain challenging in the short term. We're not expecting a defense appropriation bill until after the midterm elections. On a positive note, once that bill is passed, the GFY '23 budget is currently expected to increase year-over-year. That said, given inflation, the real defense spending and buying power increases could be far less. So overall, the demand environment is strong and appears to be getting stronger. Although the industry is dealing with headwinds, we believe that they're temporary. We expect to see a shift to tailwinds as defense spending grows and supply chain conditions improve. Turning to Slide 6. At the Mercury level, the supply chain environment remains challenging but stable. Although we're still seeing supply delays in isolated quality issues, we're experiencing fewer supply decommits compared with Q4. Lead times overall have not increased but is [indiscernible] extremely long for high-end semiconductors. Mercury's sophisticated end-to-end processing platform powers some of the most critical A&D missions. High-end processing represents about 70% of our business and it's where Mercury likely has the largest opportunity to grow over the next 5 years. It's also where the global supply chain has been most disrupted. High-end semiconductors are at the heart of many of our offensive and defensive weapon systems and have rapidly become the long lead time for defense development and production. Prior to the pandemic, semiconductor processor lead times were 10 to 12 weeks. They increased rapidly in the second half of fiscal '21 and now range from 52 to 99 weeks. Putting this in perspective, this means that high-end semiconductor material orders that we're placing today, support revenues in our third and fourth quarters of fiscal '24. It's not until this point that we believe that lead times and availability will begin to improve. Throughout this multiyear period, we've used the strength of our balance sheet to invest in working capital to mitigate supply chain risk as best we can, positioning Mercury to deliver stronger and more consistent results over time. When the supply chain conditions normalize, we expect a significant release of cash related to inventory and unbilled receivables from our balance sheet. We also continue to deal with semiconductor-related inflationary pressures. Semiconductors equate to 38% of our direct supply spend far more than our peers', we believe. We've taken aggressive steps to maintain the strongest possible margins in this environment and they're working. These include repricing standard products and incorporating price adjustment mechanisms in our rates-based businesses and multiyear proposals. We've also shortened the validity of our quotes to capture any near-term inflationary effects. Given the short-cycle nature of our model, it's likely that the impacts of supply chain inflation will begin to diminish over time as these actions result in more of the business being priced at market rates. We're making good progress in managing the industry headwinds through our 1MPACT program. Much like our approach to sequestration, we're laying the foundation for Mercury to achieve its full growth and profit potential over the next 5 years. We've seen tremendous changes since we launched 1MPACT at the beginning of fiscal '22. We began by simplifying and streamlining our organizational structure and strengthening the leadership team and we continue to do so. Mitch Stevison, our former Chief Growth Officer, who joined us from Raytheon 12 months ago, recently took the helm as President of our Processing division which accounts for approximately 70% of total company revenue. Mitch knows Mercury well and has hit the ground running in his new role. We also have focused 1MPACT on margin expansion initiatives in fiscal '22 and we're now pushing their execution deeper into the business. Effective October 3, Alan [ph] joined us to accelerate these efforts as our Senior VP of Execution excellence. Alan was previously at Raytheon in their missiles and defense division. He'll be responsible for supply chain, operations, engineering and program management reporting to me. We're pleased to welcome Alan to the team. As the environment became more challenging in fiscal '22, we pivoted 1MPACT towards those areas that could help mitigate risk and deliver the most immediate financial benefits. This year, in addition to pricing, we continue to focus on supply chain risk mitigation, working capital burn down and accelerated cash release. Another initiative is R&D investment efficiency and returns, building on the progress last year. Our digital transformation initiatives and engineering and operations will help improve our cost structure and performance over the long term as well. We're also making good progress in our facility footprint strategy. In Q1, we consolidated 2 engineering teams and a new center of excellence in Fremont, California. We're on track to consolidate our Mesa, Arizona facility into the Phoenix site in the second quarter and we expect to release 2 additional buildings in California by the end of fiscal '23. As it relates to M&A, 1MPACT is about leveraging our proven ability to integrate and grow acquired businesses but at a greater scale going forward. The environment continues to be active and will remain focused on our existing M&A themes. With that, I’d like to turn the call over to Mike. Mike?
Michael Ruppert: Thank you, Mark and good afternoon, again, everyone. As usual, I'll start with our first quarter results and then move to our Q2 and fiscal '23 guidance. As Mark has discussed, Mercury's first quarter results exceeded our guidance across all metrics, despite the supply chain and inflationary headwinds. Exiting Q1, from a demand perspective, we have excellent visibility into Q2 and the second half. As a result, we're raising the low end of our fiscal '23 guidance and expecting a cash flow positive year. Turning to our Q1 results on Slide 7. Bookings were $267 million, up 34% compared to Q1 '22. Our book-to-bill was 1.17 compared to 0.89 in Q1 '22. For the last 12 months ended Q1 '23, our book-to-bill was 1.14. The rebound in our book-to-bill indicates the positive demand environment. Our backlog at the end of the quarter was a record $1.08 billion, up 22% from Q1 '22. Our 12-month backlog was up 25% compared to last year and up 7% compared to last quarter, providing us good visibility into the remainder of fiscal '23. Coupled with bookings on key programs that we expect to receive in Q2, we're optimistic about our results for H2 and the full year. Revenue in Q1 increased 1% year-over-year to $228 million, exceeding the top end of our guidance of $215 million to $225 million. Organic revenue was $216 million and acquired revenue which included Avalax and Atlanta Micro was $12 million. Gross margins for Q1 were down approximately 500 basis points year-over-year. As expected, we had a smaller proportion of higher-margin production revenue in the quarter. Q1 gross margins also reflected material and labor inflation. As we move through fiscal '23, we expect to see higher gross margins as a result of program mix and a gradually stabilizing macroeconomic environment. Adjusted EBITDA for Q1 was $31.2 million, above our guidance of $27 million to $30 million. Our adjusted EBITDA margins were 13.7% for the quarter, down 330 basis points from 17% in Q1 fiscal '22 and primarily driven by gross margins. Adjusted EBITDA margins exceeded our Q1 guidance range. As I'll discuss shortly, free cash flow for the first quarter was an outflow of approximately $73 million. This was primarily due to award timing and continued supply chain disruption. We also observed delayed payment behavior across our customer base. Slide 8 presents Mercury's balance sheet for the last 5 quarters. Our balance sheet remains strong with significant capacity under our $1.1 billion revolving credit facility. Driven by the anticipated strong cash flow generation in H2, we expect to be well positioned to delever the balance sheet while continuing to invest in the business. We ended Q1 with cash and cash equivalents of $52 million and approximately $512 million of debt funded under our revolver. The sequential increase was primarily related to the free cash outflow. During the quarter, we swapped $300 million of our floating rate debt to fixed rate. We now have fixed SOFR at 3.79%. At our current leverage levels, that implies approximately 5% interest on a majority of our funded debt which positions us to continue to allocate capital at attractive rates. As a result of the macroeconomic environment, over the last 5 quarters, we've invested approximately $250 million in working capital to support performance obligations to our customers and ensure delivery on critical programs. This investment primarily consists of accelerated material purchases to mitigate the risks associated with the supply chain volatility and contracting delays that Mark discussed. This has resulted in increased unbilled receivables and inventory. The majority of these material purchases are for programs that are aligned with the DoD's strategic priorities and on which Mercury is a sole source supplier. As supply chain conditions normalize and our customer performance obligations are completed, we expect unbilled receivables and inventory to convert to cash and decrease substantially as a percentage of annualized sales. Turning to the specifics. Accounts receivable in Q1 were $495 million, a $47 million increase from Q4 '22. Within that increase, billed receivables were up approximately $20 million primarily as a result of customer payment behavior. Unbilled receivables increased approximately $27 million. with our intentional strategic shift to more integrated subsystems which meet the criteria of over time revenue recognition, our unbilled receivables have naturally increased. At the same time, macroeconomic conditions across the contracting environment, supply chain and to a lesser extent, labor market are impacting our ability to complete program building milestones and putting further pressure on unbilled receiving. We continue to take a disciplined and proactive approach to unlocking unbilled receivables, including negotiating legacy contract terms to incorporate progress or performance-based payments. We're including these payment structures in all new contract awards. We expect these actions to drive unbilled receivables down as a percentage of annualized overtime revenue throughout fiscal '23 and fiscal '24. Inventory increased approximately $17 million in Q1 '23 compared to Q4 '22. [indiscernible] semiconductor times range from 52 to 99 weeks as Mark discussed. We continue to lean forward on accelerating raw material purchases to support customer delivery schedules and mitigate supply chain risk in future quarters. Additionally, as with unbilled receivables, shortages in key parts have hindered our ability to deliver finished goods to our customers. We're working with our supply partners to accelerate deliveries of key components in order to deliver finished goods to our customers. Turning to cash flow on Slide 9. Last quarter, we forecasted a free cash outflow in Q1, driven by lower net income, onetime payments as well as working capital build associated with continued supply chain constraints. However, the outflow was larger than expected at $73 million, primarily due to customer contracting delays within the quarter. Reflecting the proximity of award receipts to quarter end, expected billings and cash collections in the quarter were lower than expected. We expect the majority of these Q1 delays to result in billings or cash collections in Q2. We also observed delayed payment behavior across our customer base in Q1, with payments due as of quarter end, not being paid until the first weeks of Q2, resulting in an increase in billed receivables. Although it wasn't used in Q1, we've put an accounts receivable factoring facility in place to address this in the future, if necessary. As Mark said, we believe Q1 was the low point of fiscal '23 free cash flow. We expect free cash flow to improve in Q2 and grow through the second half, leading to positive free cash flow for the year. Looking forward, we believe that our financial results for fiscal '23 will reflect the early impacts of a potentially substantial longer-term release of working capital from our balance sheet especially as the supply chain headwinds subside. I'll now turn to our financial guidance, starting with Q2 on Slide 10. Forecasting the current environment remains challenging. Our guidance incorporates to the extent we can, potential impacts associated with ongoing supply chain constraints and material and labor inflation as well as a continuing resolution in a midterm election year. For Q2, we currently expect revenue in the range of $225 million to $240 million. This is approximately 6% growth at the midpoint compared to the second quarter last year. We currently expect gross margins to increase from Q1, so we continue to be cautious with regard to supply chain variability and material inflation. In the second half of fiscal '23, we expect gross margins to increase as we complete several of our lower-margin development contracts. The revenue growth in H2 is expected to be driven by higher-margin production programs. We expect adjusted EBITDA for Q2 to be $38 million to $42 million, representing 17.2% of revenue at the midpoint. This is approximately 350 basis points higher than Q1 and in line with Q2 fiscal '22 actual margin. For Q2, we currently expect free cash flow to be near breakeven to slightly positive with Q1 marking the low point in fiscal '23. I'll now turn to our guidance for full year fiscal '23 on Slide 11. In Q1, the team worked to mitigate risks within our control, resulting in Mercury exceeding the high end of guidance. Our updated full year guidance builds on the Q1 overperformance but remains cautious based on our risk outlook for the remainder of the year. The near-term outlook for the industry and the macroeconomic environment remains far from certain. However, the demand environment continues to improve and we believe our strong Q1 will be, in retrospect, Mercury's low point for organic growth and margins in fiscal '23. As a result, we're raising the low end of our previous guidance for revenue and adjusted EBITDA for the year. Driven by 34% year-over-year bookings growth, we ended Q1 with a 12-month book-to-bill of 1.14 or backlog. For fiscal '23, we expect double-digit growth in bookings and improved bookings linearity, leading to continued growth in our backlog and greater visibility to our forecasted revenues. We also expect a positive book-to-bill for the year. From a revenue perspective, we now expect total company revenue of $1.01 billion to $1.05 billion in fiscal '23. This represents 2% to 6% growth year-over-year and approximately flat to 4% organic growth. While this organic revenue guidance is still below our target business model, we're beginning to see the rebound driven by the strong bookings momentum over the last 12 months. We continue to expect fiscal '23 to be second half weighted. Based on the midpoint of our guidance ranges, we expect approximately 45% of revenue in H1 and 55% in H2. And with organic growth accelerating in H2 and into fiscal '24. As I mentioned, our current backlog and expected Q2 bookings should provide strong visibility and backlog coverage as we enter H2. Adjusted EBITDA for fiscal '23 is expected to be in the range of $202.5 million to $215 million, up 1% to 7% from fiscal '22. Adjusted EBITDA margins are expected to be approximately 20% to 20.5%. The increase in our EBITDA guidance for fiscal '23 is driven by Mercury's outperformance in Q1. Like revenue, we expect adjusted EBITDA and EBITDA margins to be heavily weighted towards the second half. As revenue ramps through the year, we expect an increase in gross margins and operating leverage to lead to adjusted EBITDA margin expansion. From a free cash flow perspective, we're targeting approximately 30% of adjusted EBITDA in fiscal '23. This estimate assumes the current R&D capitalization tax laws delayed or repealed. As I've said, we expect cash flow to begin to normalize in H2, driving improved conversion for the full year. With that, I’ll now turn the call back over to Mark.
Mark Aslett: Thanks, Mike. Turning now to Slide 12. We believe that Mercury couldn't be better positioned strategically. We entered fiscal '23 with a record backlog and strong new business momentum. We anticipate strong bookings, a positive book-to-bill and a return to organic growth, with revenue reflecting $1 billion for the first time. We expect to deliver improved margins, better working capital efficiency and positive free cash flow. This should lead to improved fiscal '23 results, positioning us for a stronger year in fiscal '24 as the supply chain headwinds begin to recede. Looking further ahead, our plan for the next 5 years remains intact. Mercury's fundamentals are strong and with 1MPACT should improve over time. Defense budgets domestically and internationally are poised for rapid growth. We believe that we're well positioned to continue benefiting from industry trends, including supply chain delayering and reshoring as well as increased outsourcing at the subsystem level. We anticipate that a greater percentage of the value associated with future defense platforms will be driven by electronic systems content where Mercury participates. We're building the company we set out to create from a capability perspective and our addressable market continues to expand as a result. This has been driven in large part by our strategic move into mission systems and the potential to deliver innovative processing solutions at chip scale. Our model [indiscernible] at the intersection of high tech and defense positions us well. We believe that Mercury can and will continue to grow at high single digit to low double-digit rates organically as the current headwinds diminish. In addition to organic and M&A-related growth, our 5-year plan includes continued margin expansion driven by 1MPACT, leading to stronger adjusted EBITDA as well as improved working capital efficiency and cash conversion. Executing on our long-term strategy over the past decade, we've improved margins by growing the business organically, supplemented with disciplined M&A and full integration. As a result, we created significant value for our shareholders and expect to continue doing so. In closing, I'd like to recognize the entire Mercury team for a tremendous effort during these challenging times, my sincere thanks to all of you. With that, operator, please proceed with the Q&A.
Operator: [Operator Instructions] Your first question today comes from the line of Jonathan Ho with William Blair.
Jonathan Ho: One thing I wanted to understand a little bit better, can you maybe help us understand how your pricing actions maybe flow through for the balance of the year? And what that could mean in terms of either improvements to gross margins or on the cash flow side?
Mark Aslett: Sure. So we've done a fair bit, Jonathan. As part of 1MPACT, we had 2 major initiatives: 1 related to procurement, where we stood up a procurement organization and seeking to purchase things more efficiently; and then the second is that we stood up a pricing team to initially be able to price our products more in line with the value that we provided. Both of those areas have actually ended up really helping to offset some of the inflationary pressures that we're seeing. And I think we're actually being pretty successful doing that. So in the -- in our microelectronics business, at the very start of the year, we actually did pretty much across-the-board price increase associated with our commercial products. And then in our noncommercial business, we have also pretty aggressively looked at passing on the costs associated with the inflationary pressures to all of our customers as well as actually addressing contracts going forward to make sure that we’re capturing the inflationary pressures on a go-forward basis as well. So Mike, I don’t know if you’d like to maybe comment further from a financial perspective.
Michael Ruppert: No, I think you hit it, Mark. Jonathan, the only thing I would add is that as you look at our guidance, we do have some inflation pressure embedded in our guidance. But at the same time, as we said, we're working to offset that through pricing. So there is some in there but we're mitigating the piece of it in our guidance as well.
Jonathan Ho: Great. And then just as a quick follow-up. When it comes to some of the customer behavior around payments, do you have any concerns at all around collections, quality or receivables? And when does that sort of maybe start to normalize in terms of the cash conversion?
Michael Ruppert: Yes. So I'll take that one. So Jonathan, we feel very good about the quality of the assets that are on the balance sheet and the collectibility of both the unbilled receivables to billed receivables as well as the inventory. Because if you step back, the majority of that is material purchases that we've made for programs that are aligned with the DoD's strategic priorities that were designed in on. And so it really is just a matter of time as the balance sheet unwinds once we deliver on those final performance obligations to our customers.
Mark Aslett: Mike, let me jump in there because I think it's important to just kind of step back and really maybe delve into this in a little bit more detail. So most of the challenges that we've had from both a working capital perspective and cash flow are clearly due to the very challenging supply chain environment. And we expect that those challenges are actually going to continue throughout 2023. And we've seen some improvement. I think the in-quarter supply decommits has improved somewhat versus the fourth quarter which we're grateful for. However, I think the challenge is still very much related to extremely long semiconductor lead times, particularly on the high end and the general scarcity of those devices overall. I think we're seeing more -- also seeing more rapid and frequent end-of-life older devices which is particularly a challenge in the defense industry given life cycles as well as now both material and labor inflation. And it hit us probably more than most because 70% of our business is related to processing. So as a reminder, in fiscal '22, 45% of our business is actually recognized as point-in-time revenue recognition. Or put another way, when we recognize revenue when we actually deliver the product, that's actually a much larger percentage than other companies in the industry. The remainder of the revenue recognition is really over time. And unfortunately, we don't get to choose what type of revenue recognition we use, it's really due down to the accounting rules that dictate that. So let me talk a little bit about the business model and why cash flow is being impacted so you really get a better understanding of what's going on and why in particular working capital has begun -- is built and why we believe our cash flows have been impacted but really on a temporary basis. So a point-in-time revenue, we typically purchase inventory to support future customer deliveries and we get orders largely based on our manufacturing lead times which for products have historically been quite short. The model has actually worked really well in the past and given us tremendous flexibility to deal with mix changes and quarter-to-quarter revenue volatility. And it's also a reason why actually our guidance track record historically has been so strong over many years because we've been able to actually absorb some of the bumps in the road from period to period. If I look back into 2021, 2021 is when semiconductor lead times quite suddenly and dramatically lengthened which really disrupted our model as well as actually the whole industry. And unlike our customers and given our position in the industry, we typically don't receive multiyear awards. So this became -- these lead times became a challenge for the industry last quarter and it's clearly continued into this quarter as well. And it's a major reason that many of our customers' top and bottom lines have suddenly been impacted. The truth is, however, if you look at the -- what's actually happened, the seeds of this was so many quarters ago, likely back in 2021 itself. It's just taken a little bit of time for it to actually show up at the prime contractor level. So the approach of short-term duration contracts, the lower tiers in the defense and industrial base is really an artifact of defense industrial policy. And it's pretty clear that it needs to change if we're actually to build a resilient supply chain and an industrial basis, the industry moves more towards what production footing. So back to Mercury; the programs that we're buying inventory for are typically defense programs of record where we're designed in and typically of sole-sourced positions. These programs are usually an LRIP or full rate production. And for these types of programs and products, we've definitely seen it build in inventory a semiconductor lead times, dramatically lengthen during the pandemic. And we needed to purchase additional inventory way sooner than we normally would have to support our customer as well as our financial commitments. In addition, the semi industry more rapidly ended life of older legacy components which meant we had to stock up on those too. As others have commented this earnings season, semiconductor part charges also held up planned product deliveries which created more whip -- inventory whip. So the cash consumption has largely been in raw materials and whip precipitated by the change in the semi industry. Now we view it as an investment in our future and that of our customers but it's absolutely consumed cash. On the other side, related to unbilled or overtime revenue recognition, that's the remainder of how we recognize revenue. This is by far the most common type revenue recognition in the industry and the default for many of our customers. Now we've used this model. It's been the correct accounting treatment as we success -- been successful in winning larger subsystems business which has really been a significant driver of growth in the business. And in this area, we're buying inventory but we're pegging it to a specific program. The challenge here, again, is really being supply related, including challenging supply quality, labor shortages and the dramatically longer semiconductor lead times, as I just mentioned. Also, certain of our legacy contracts meant that we couldn't collect cash until we actually ship the final units. And with the part shortages, we've ended up with partially built units that have also tied up working capital. So we believe that the cash tied up in inventory and nonbuilt receivables should start to release over time you're dramatically improving our cash flow and conversion rates. But we thought it was pretty important to really kind of dig down a level and just help people understand what's going on. So thanks for the question, Jonathan.
Operator: Your next question comes from the line of Sheila Kahyaoglu with Jefferies.
Unidentified Analyst: It's actually Scott [ph] on for Sheila. But Mark, you talked about some of the importance of M&A for kind of 1MPACT initiative. I mean given the movement in rates we've seen year-to-date, how is the M&A environment shifted? And how are you kind of thinking about any change to the return profile you're looking at?
Mark Aslett: Mike, do you want to take that one?
Michael Ruppert: Yes. Sure, Scott. I think that -- listen, we've definitely seen a move in rates over the last couple of weeks, months and quarters and it's impacted the industry. I think that when you look at valuations in the industry just definitionally, based on higher discount rates, those could come down. That having been said, there are scarcity of assets out there. And for good assets, I think that they're going to continue to garner good multiples. And we've seen some of that recently. I think from our perspective, we're just going to keep doing what we've been doing, we're pretty disciplined in our M&A approach. We're very careful with the cases where we're underwriting when we're doing our valuations, especially in the environment that we're in right now with a lot of uncertainty. So I think that from our perspective, we've got a good capability when it comes to M&A. And as I mentioned in my prepared remarks, when you look at the revolver we have, the $1.1 billion revolver, it does give us a lot of capacity to focus on M&A at attractive rates when the time is right.
Unidentified Analyst: And then maybe just a quick follow-up on 1MPACT. I mean, you’re over a year into it now. I mean, what successes have you really been able to point to? And are there any areas where it’s maybe been a little more challenging than you had previously expected?
Mark Aslett: Yes. So good question. So I think we've actually achieved a lot, right? So it began by us really simplifying and streamlining the business into the structure that we have today, we've dramatically strengthened the leadership team. And then we set about really focusing on some key areas, one was procurement. We stood up a direct -- or a procurement -- centralized procurement organization to help us actually take advantage of the scale that we have today. We put in place an AI and machine learning-based procurement tool. This has actually paid huge dividends in this supply challenging supply chain environment. We still have a pricing organization inside of the business as well to be able to price our products more appropriately. Now those 2 items in the short term really helped to mitigate the 10% to 20% increases that we're seeing in semiconductor inflationary pressure. So we've been able to mitigate that a fair bit. We've also, I think, done a fair amount of work looking at R&D investment efficiency kind of going through project by project, eliminating any low-return projects to be able to ensure that we're focusing on the right areas. We’ve done a good job from an employee engagement and from a retention perspective. As you know, the labor markets are very, very challenging right now with the great resignation. And I think we’ve done a good job retaining our employees as well as being able to hire the people that we need to continue to grow the business. We’ve also made substantial progress looking at our facility footprint wrapped off just a few of the reductions in terms of the number of facilities that we’ve already done over the course of the last 12 months. And we’ve got several others that we expect to complete by the end of this fiscal year. Over and above that, I would say that we’ve done a tremendous amount of work on the digital transformation. We’re just completing the rollout of a new digital manufacturing execution system. We are in the process of migrating our engineering tools to the Amazon Gulf high Cloud which is going to give us better productivity and scalability and efficiency over time. And so we’ve actually done a lot. Unfortunately, I think we’re not really seeing the benefits of what we’ve done, just given the challenges that we’ve seen around productivity and the supply chain which are linked. But over the course of the next 5 years, we do believe that we’re going to see substantial margin expansion as well as substantially improved cash flow generation and yield.
Operator: Your next question comes from the line of Michael Ciarmoli with Truist Securities.
Michael Ciarmoli: Mark, I know you’ve spent a ton of time here on the free cash flow. But just -- I mean, you’ve got customers holding back payments. And I mean when I hear customers, I mean, are we thinking the prime contractors? I mean I’m just trying to better understand what that dynamic is, like they’re holding back payment and simultaneously, you’re investing in inventory and working capital to support these programs, yet you’re taking all the risk on your balance sheet with your cash flow while they’re all basically buying back stock? I mean just how is that dynamic working among the customers?
Mark Aslett: Yes, it's a good question. Let me kind of maybe touch on it at a high level and I'm sure Mike will contribute. So we did see some holdback at the end of the quarter. So I'll give you an example, right? One particular customer paid us for 2 things. And then the third which was also June, we got paid on the first day of the new quarter, right? So it's not like that we're holding for long periods of time but we definitely saw some holdback at the end of the quarter. The other thing affected us, Mike, I was also just the timing of specific orders. And in particular, our 3 largest orders in the first quarter all ended up moving to the right and taking the revenue and the cash associated with those outside of the cash window. So it's a number of things that's going on. But look, I think the last 2 quarters, at an industry level, Mike, in terms of revenue and top and bottom line have been challenging overall. And I think we're seeing some changes in behaviors associated with that. So Mike, I don't know if you would like to maybe add to that.
Michael Ruppert: Yes. No, I think you hit on it. I mean, Mike, the only thing I would add is that the business models and market spend a good bit of time going through it between us and our prime customers are different and he just talked about that. We are doing things to change the dynamic, especially around unbilled receivables. So we’re negotiating with customers now to get more favorable milestones and progress payments on new and existing programs. We’ve got updated processes internally. So we’re trying to change the way we contract with customers. So it’s not all of our balance sheet being used to support these programs. And so that’s why we think we’re going to see some unwinding of the working capital to going forward.
Mark Aslett: I mean if -- yes. If you think of what we've done from a cash thing, there's 5 things that we're focused on, right? We're obviously looking to drive the cash conversion, burning down the unbilled receivables and inventory. But doing it in a way in which it doesn't put revenue execution and on-time delivery at risk, right? So for every action is usually a reaction. We have absolutely enhanced our demand planning processes as part of impact. We've put in place leverageable and scalable tools to drive the demand signal accuracy and much earlier identification of the commitments that we need to make on materials or to focus in on those part shortages given the unprecedented lead times. The third thing that we've got a major focus on negotiating milestones with customers. And as part of the issue that we've had on some of the legacy contracts is when we shifted towards the subsystems revenue, we didn't necessarily have milestone or performance or progress payments. We're now going back and making sure that we got those all in the commercial side of the business, we're actually getting cash up front. We're also prioritizing the labor resources to make sure that we can actually liquidate those unbilled balances as well. Labor is critically important, right? So I think we're very much, as I mentioned, as part of the impact conversation, focus on retention and resourcing to ensure that we're actually mitigating any execution challenges related to shortages and staffing. And then finally, I think over the longer term, as we're moving up the industry and the value chain and going after much larger proposals that we've done in the past, we're very much focused on strengthening our bid proposal and capture [indiscernible] to drive better terms and protections for Mercury in the future. So we're all over it. And I think, as Mike said, we think that the cash flow is bottoming in Q1, should improve in Q2 when as the year progresses.
Michael Ciarmoli: Got it. That’s helpful. And just one quick follow-up on related. On the budget dynamic and the continuing resolution, do you guys -- your kind of internal planning, do you think we get a full bill before year-end or based on midterm, if we see a complete turnover either Redwave or Bluewave, do you think any signing of the bill will have to wait for new Congress to get seated? So we run through maybe end of January, February time frame?
Mark Aslett: I think our operative assumption right now is that we get the bill before year-end but your guess is as good as mine, Mike, right, on the -- what the election results are going to be and how that might affect things. So yes, we're expecting a relatively short CR which we've obviously taken to return in terms of our guidance.
Operator: Your next question comes from the line of Austin Moeller with Canaccord.
Austin Moeller: Just my first question here. Do you expect that pressure on some of the NATO European allies due to the economy and inflation could delay new orders for modernization programs by maybe a year or more relative the U.S.?
Mark Aslett: Yes, it's a good question. I think my gut would say probably not. The -- clearly, with what's happening over in the Ukraine, the threat environment that you usually kind of dictates both the altitude and the timing of defense spending. And clearly, 9 months into this, the situation is not great. So my gut is, is that we're going to continue to see increased spending in Europe. And whether it's immediate or it takes a little bit longer, time will tell. But I think they're acting with a sense of urgency, Austin.
Austin Moeller: Okay. That makes sense. And can you call out any specific key program deliveries in the second half that you anticipate will support the step-up in free cash flow?
Mark Aslett: So in the second half, I think we've got some pretty significant programs. Just kind of rattling through a few off the top of my head, we've got Filthy Buzzard. That is beginning to ramp again. We're expecting a very large IDIQ this quarter as well as delivery orders ramping up as the year progresses. I think F-16 will be a significant contributor. The large new EO/IR program, the large microelectronics program. So there's a number of programs that we expect to ramp in the second half of the year.
Michael Ruppert: Yes. And Austin, the only thing I would add on that too is from a working capital release perspective, while there’s orders that we need to drive revenue and bookings. There’s other things that we’re working on from a release of working capital perspective. And we’ve seen unbilled and programs being delayed because of supply chain delays because of contract definitization. And as we work through those in the second half, that will also help the working capital in addition to the growth programs that Mark just described
Operator: Mr. Aslett, it appears there are no further questions. Therefore, I would like to turn the call back over to you for any closing remarks.
Mark Aslett: Okay. Well, thank you very much, everyone, for joining us here this evening. We look forward to speaking to you again next quarter. Thank you.
Operator: This concludes today's conference call. Thank you for attending. You may now disconnect.